Operator: Good morning. And welcome to the Olympic Steel 2022 Fourth Quarter and Full Year Final -- Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the conference over to Rich Manson, Chief Financial Officer at Olympic Steel. Please go ahead, sir.
Rich Manson: Thank you, Operator. Welcome to Olympic Steel’s earnings call for the fourth quarter and full year 2022. Our call this morning will be hosted by our Chief Executive Officer, Rick Marabito; and we will also be joined by our President and Chief Operating Officer, Andrew Greiff. Before we begin, I have a few reminders. Some statements made on today’s call will be predictive and are intended to be made as forward-looking within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and may not reflect actual results. The company does not undertake to update such statements, changes in assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties and other factors that could cause actual results to differ materially are set forth in the company’s reports on Forms 10-K and 10-Q, and the press releases filed with the Securities and Exchange Commission. During today’s discussion, we may refer to adjusted net income per diluted share, EBITDA and adjusted EBITDA, which are all non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures is provided in the press release that was issued last night and can be found on our website. Today’s live broadcast will be archived and available for replay on the Olympic Steel’s website. At this time, I will turn the call over to Rick.
Rick Marabito: Thank you, Rich, and good morning, everyone. Thank you for joining us on today’s conference call to discuss Olympic Steel’s fourth quarter and full year results for 2022. I will begin with an overview of another strong quarter and an exceptional year for Olympic Steel. I also want to offer some reflections on Olympic Steel’s successful strategic journey to be less cyclical and consistently earn higher returns. Then Andrew will review highlights from each segment, share additional details on our recent acquisition and comment on our market outlook. Following that, Rich will discuss our financial results in more detail, and then as always, we will open up the call for your questions. Our fourth quarter capped off another year of extraordinary performance for Olympic Steel. Although we faced the steepest and fastest decline on record in metals pricing, combined with economic and non-metal inflationary pressures, our team weathered these challenges to deliver the second most profitable year in company history, behind only 2021, with our Specialty Metals and Pipe and Tube segments both achieving all-time profitability highs in 2022. These results show that our strategy to reduce the impact of market cyclicality in our business is working. As we have highlighted on past calls, we initiated a very intentional effort to build a more resilient, diversified Olympic Steel that is delivering higher returns. We have taken deliberate steps to diversify into higher return products and services through acquisitions and targeted organic investments in all three of our business segments. We also divested of assets that no longer align with our vision for the company by selling our Detroit operation in 2021 and then utilizing the proceeds for higher return investments. We did this while relentlessly adhering to our operational disciplines to improve inventory turnover and right-size our cost profile. Together, these actions have strengthened our business, increased our capacity, made us more efficient and improved our profitability and returns, even in the face of rapidly declining market prices. Importantly, we also improved our balance sheet and increased our ability to invest in our future. In 2022, our record cash flow resulted in $162 million or 49% reduction of debt, providing increased liquidity for higher return growth opportunities, including the January 2023 purchase of Metal-Fab. Our second largest acquisition in our history and our sixth acquisition in the last five years. Metal-Fab is a perfect fit for Olympic Steel, bringing a consistent recession-resistant track record of double-digit EBITDA margins and adding an expanded catalog of products to our growing portfolio. We are very excited to welcome Metal-Fab to the Olympic Steel family, and Andrew and Rich will talk more about Metal-Fab in their remarks. While the integration of Metal-Fab is a priority for 2023, we continue to actively evaluate additional acquisitions and organic growth opportunities that align with our strategy, meet our return expectations and allow us to leverage our business model. Additional successes in 2022 included our strong safety performance with a 26% year-over-year reduction in OSHA-recordable incidents. We also published our first Corporate Responsibility Report and advanced our diversity, equity and inclusion plan. We are also proud to have increased our support to a greater number of charities through our Corporate Citizenship initiatives. As we begin 2023, Olympic Steel is stronger and more resilient than ever. In January, we upsized our asset-based revolver from $475 million to $625 million, providing additional capital to further execute our growth strategy through acquisitions and robust organic growth expenditures, while simultaneously rewarding our shareholders with an increased quarterly dividend of $0.125. Before I turn the call over to Andrew, I want to reinforce how incredibly proud I am of the Olympic Steel team. Earlier this year, we were named a Forbes Magazine’s list of America’s Best Small-Cap companies. I believe the market is recognizing that we have repositioned Olympic Steel as a highly innovative, growing acquisitive business that is more resilient to the cyclicality of the metals industry. But our job is not finished, we will continue to operate efficiently with the aid of continued investments in automation and grow our business in a smart, strategic way. We are very excited about the future of Olympic Steel. Andrew?
Andrew Greiff: Thank you, Rick, and good morning, everyone. Before I review our business results, on behalf of the entire Olympic Steel family, I want to take a moment to acknowledge our colleague, Rick Marabito to being named the 2022 Service Center Executive of the Year by Metal Center News. This well-deserved recognition stems from Rick’s dedication to the industry, as well as his clear vision, tireless commitment and inspirational leadership during the period of transformation across our enterprise. Congratulations, Rick. Turning now to our business performance. We ended the year with another very strong quarter as all three segments delivered positive EBITDA in the fourth quarter. We finished the quarter with $11.9 million of adjusted EBITDA, and in the face of the largest and steepest decline ever in metal pricing, we delivered over $37 million of adjusted EBITDA during the second half of 2022. Our fourth quarter performance is especially notable when you consider the metals pricing environment and macroeconomic challenges we faced. During the period from May 2022 to December 2022, we experienced the steepest drop ever in carbon pricing, as the hot-rolled index pricing fell 59%. The stainless steel surcharge for grade 304, our highest volume specialty metals product dropped 42% from April to November. Our ability to perform and remain profitable under such conditions is a direct result of the steps we have taken to diversify and make our business more resilient to market cyclicality while remaining disciplined in our inventory turnover management. Our most recent step in our strategic journey was the acquisition of Metal-Fab in January 2023. This acquisition provides a solid platform for accelerating growth in three of our target market segments, carbon and coated, stainless and aluminum. Metal-Fab ‘s talented and experienced management team, manufacturing expertise and catalog of venting and air filtration products are a strong addition to our growing portfolio of metal-intensive end-use products. Metal-Fab’s earnings model has proven session resistant and we expect to capitalize on operational and commercial synergies that will benefit both the Metal-Fab product lines and Olympic Steel. To-date, the integration has been running smoothly and we look forward to updating you on our progress. The business will continue to operate as Metal-Fab and will report to our Carbon segment. Further reinforcing our commitment to diversify and grow in high return products is the appointment of seasoned industry veteran, Mike Tookey as Director of Coated Products. This is a newly created role in Olympic Steel. In this position, Mike will focus on accelerating growth related to coated carbon flat-rolled products and processes, including galvanized, galvannealed, galvalume, aluminized and automotive grades of steel. Now for the highlights of our segments. As Rick mentioned, both Specialty Metals and Pipe and Tube delivered a most profitable year ever. The performance of our Carbon segment was also noteworthy, delivering positive EBITDA despite the steepest carbon flat price decline in history. The Specialty Metals segment, led by Andy Markowitz, contributed EBITDA of $9.1 million in the fourth quarter of 2022, a record earnings year in spite of the considerable decline in the nickel surcharge and an increase in stainless steel coil imports throughout the year. Our newest 80,000-square-foot white metals facility in Bartlett, Illinois is well underway and we expect to be fully operational during the second quarter of 2023. This segment’s end users, specifically truck trailer, food equipment and industrial appliance manufacturers remain busy and are performing to forecast. The Pipe and Tube segment led by Bill Zielinski contributed adjusted EBITDA of $6.3 million in the fourth quarter of 2022, and as Rick noted earlier, had a record earnings year. Our continued investments in tube fabrication has increased our value-added business. We expect the previously announced addition to our Des Moines, Iowa facility will be operational in the second half of 2023. Our Carbon segment led by David Gea, contributed $600,000 of EBITDA for the quarter, achieving positive EBITDA in the fourth quarter is a credit to the discipline and hard work of the segment’s team, which helped us lead through a challenging marketplace. The team remains focused on the things we can control, the diligent management of operating expenses and inventory levels. We are off to a fast start in 2023 as customer shipments have increased from the seasonally slower fourth quarter and pricing on all metal products has increased. Looking forward, we expect to be an indirect beneficiary of the increase in infrastructure spending, which will be good for the steel industry as a whole. Our industrial OEMs are optimistic that business will remain steady and expect consistent build rates through the first quarter and likely into the first half of 2023. I want to thank the entire Olympic Steel team for their hard work and contributions to another outstanding quarter and year. Our results are proof that our strategy is working, but as Rick said, we haven’t finished the job. As we move forward in the months and years ahead, we will continue to grow and strengthen our business in a very purposeful way. Now, I will turn the call over to Rich.
Rich Manson: Thank you, Andrew, and good morning, everyone. As you have heard from Rick and Andy, our fourth quarter performance and full year performance shows that we are well positioned for success in all market cycles. For the quarter, net income totaled $4 million, compared with $24.9 million in the fourth quarter of 2021. Adjusted EBITDA was $11.9 million for the quarter and $152 million for the full year, making 2022 the second most profitable year in our company’s history. Our total debt decreased by $162 million or almost 50% to $166 million at year-end 2022. That includes a $78 million reduction of debt during the fourth quarter. At year-end, our credit availability was approximately $306 million. As Rick noted earlier, in January 2023, we increased our asset-based revolver from $475 million to $625 million, providing access to additional capital. Following the $131 million acquisition of Metal-Fab, our availability remains in the $300 million range, providing us with significant capital to continue our growth and diversification strategy through investments in acquisitions, new capacity and automation to drive increased efficiency. During the first quarter of 2023, we expect our working capital needs to increase as metal pricing has increased and working capital needs expand from their seasonally low balances on December 31st. However, we do expect further debt reduction during 2023, primarily occurring in the second half of the year. Consolidated operating expenses totaled $81.6 million for the fourth quarter, a decrease of $8.9 million or 9.9% from the prior year quarter. Fourth quarter 2022 operating expenses included a $9.8 million reduction in performance-based incentive expenses when compared to the fourth quarter of 2021. Capital expenditures for 2022 totaled $19.9 million, compared to depreciation of $17.3 million. Many capital expenditure projects were approved during 2022, but long lead times have slowed the utilization of cash and push those projects into 2023. We have a robust capital expenditure plan for 2023 of over $36 million of new equipment and improvements, primarily a combination of automation projects and equipment for organic growth opportunities and higher margin products. Lead times for equipment remain long and we expect actual cash utilized for capital expenditures during the 2023 year to approximate $30 million. Our effective tax rate for the quarter of 2022 -- for the fourth quarter of 2022 was 18.6%, compared to 27.4% in the fourth quarter of 2021. The lower tax rate was primarily related to the recognition of higher than expected federal and state tax credits on our 2021 corporate tax returns, which were filed during the fourth quarter of 2022. We expect our 2023 effective tax rate to approximate the historic rate of 27% to 28%. Looking forward, we are excited to include Metal-Fab in our 2023 results. The $131 million purchase price represents a paid multiple of approximately 6.9 times trailing 12-month adjusted EBITDA. During the first quarter of 2023, we expect to record approximately $4 million to $5 million of required GAAP related purchase price expenses and adjustments, primarily expense deal fees, the write-up of inventory to fair market value and the amortization of certain acquired intangible assets. Our reported financial results will begin reflecting the full strength of Metal-Fab ‘s earning power in the second quarter of 2023. And just last week, our Board of Directors approved a 39% increase in our regular quarterly cash dividend to $0.15, up from $0.09 per share. We are pleased to share Olympic Steel’s success with our shareholders and we remain committed to delivering value to all of our stakeholders. We have paid dividends now for 71 consecutive quarters. In closing, I want to add my congratulations to our team for their hard work and accomplishments in 2022, especially during the tumult second half of the year. We remain confident that the strength of our company and our ongoing commitment to our strategy will enable us to continue our resilience and success in all market cycles. Now, Operator, let’s open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Samuel McKinney with KeyBanc Capital Markets. Please proceed with your question.
Samuel McKinney: Hi. Good morning, guys.
Rick Marabito: Good morning, Sam.
Rich Manson: Good morning.
Samuel McKinney: Decrease in both pricing and volumes in Carbon and Specialty in the fourth quarter, and thanks, Andrew, for the color earlier. But can you talk us through a little more color on what you are seeing from your major industrial OEMs on the demand side for almost through February?
Rick Marabito: Yeah. Sure. Happy to do that, Sam. What we are really seeing is steadiness. The industrial OEMs have been at a pretty good pace, I would say, since the last 12 months to 18 months, and they are continuing to remain steady. We see that not only through the first quarter and second quarter, but right now, it looks like through the balance of this year. I think their backlogs are pretty good, but they are having a tough time getting into the backlogs for some of the same supply chain issues that we have been talking about this past year and a half to two years right now primarily labor. But they are very steady. They are really hitting at about forecast and so we are very bullish on where the industrials are going certainly for this year.
Samuel McKinney: Okay. Thanks. I know you have a pretty heavy contractual book that tends to lag the rise in spot pricing. So from a pricing standpoint in the first quarter, given the rising HRC market, what are you seeing?
Rick Marabito: Well, I think, you said it perfectly. So we will see our spot prices as we have started to rise and there will be a lag for the contractual business, it will probably take late first quarter into second quarter before we start seeing any changes there. But we have certainly seen the spot numbers starting to rise in the last two weeks or three weeks.
Samuel McKinney: Okay. And then in 2022, you guys did a great job deleveraging cutting the debt almost in half. Can you talk us through what the strategy is in managing those levels in 2023 and how much further you are planning to get in terms of M&A?
Rich Manson: Sure, Sam. It’s Rich. And I think the focus on inventory really all along has been on inventory turns. And so our inventory levels are going to be set by the demand level of our customers and we just strive to turn 5 times. And so my comments with respect to debt are that, if you look at the futures, the futures curve would suggest that pricing in the latter half of 2023 is less than now, which would mean working capital is less. So you would expect to see debt come down in the back half as working capital needs decrease. And then with respect to M&A, we remain open to M&A, as well as organic growth opportunities. As I mentioned in my comments, even after the Metal-Fab deal with the upsizing of our ABL, we are still looking at availability in excess of $300 million. So we remain open to any opportunities that will help us get into higher return products.
Samuel McKinney: Okay. Thank you. And then last one for me. OpEx was in the 13% range as a percent of sales through the first nine months of 2022. It was closer to 16% in the fourth quarter. Can you talk me through what drove that increase and what inflationary pressures are aiding and which have been more sticky?
Rich Manson: Sure, Sam. It’s Rich. And I think what you are seeing in the fourth quarter is just a seasonally slower sales level and so you are always going to have a higher percentage of operating expenses in the fourth quarter compared to the other quarters. Year-over-year, we were down about $9 million and when you kind of adjust out for the incentive, the incentives that are performance based, we basically saw about a 4% inflation fourth quarter of 2022 versus fourth quarter of 2021 and that’s down from what we saw early in the year. We were tracking between 5% and 5.5% for the first three quarters of the year and I think that we still have inflationary pressures on everything. As I always point out to people, there’s nothing that you buy today that doesn’t cost more than it did a year ago. But I would tell you that, that rate of inflation seems to be decreasing.
Samuel McKinney: All right. Thanks, guys. That’s it for me.
Andrew Greiff: Thanks, Sam.
Operator: Our next question is from Dave Storms with Stonegate. Please proceed with your question.
Dave Storms: Thank you and thank you, everyone, for taking my question. Good morning. Just wondering if I could start with the demand side. You mentioned demand is still really strong from our OEMs and end markets. Is any of that tied to any of the Infrastructure Bill that was passed what was that last year or is there still, I guess, some dry powder there from the demand side?
Rick Marabito: No. I think there’s probably more dry powder. I don’t think we are really seeing the impact yet. Dave, I think, the anticipation is that we will. And certainly, on the industrial side, they talk about it, but we have not really seen anything to-date that would stand out. But the anticipation is certainly as we get into the second half of this year, we will start seeing some of this indirectly.
Dave Storms: Perfect. Thank you. And I know you mentioned that, you are targeting get to start decreasing again in the second half of 2023. In the past, you put that number trying to get your debt down to the $200 million level. Is that -- do you think that’s going to be your goal again or does that goal now shift with the Metal-Fab acquisition to increase revolver or is it still too soon to kind of put a number around that?
Rich Manson: Yeah. David, it’s Rich. I think it’s a little too soon to put a number on that. I think the biggest driver will be what hot-rolled pricing and stainless pricing does here rest of the year. Obviously, right now, the mills have announced a lot of price increases. And depending on where that price ends up at the end of the year kind of compared to where the beginning of the year, that’s really going to kind of determine how much of a draw or pay down you have on working capital. So I would tell you, stay tuned. Obviously, it’s heavily dependent upon where metal pricing goes rest of the year.
Dave Storms: Perfect. Thank you. And one more, if I could. I know you touched on inflation already. Last quarter, there was a lot of talk around transportation cost being a big headwind fee, especially around diesel pricing. With diesel prices starting to come down a little bit quarter-over-quarter, are we starting to see that abate and do you think that will drive your inflation expectations even lower, hopefully?
Rich Manson: Yeah. So, Dave, it’s Rich again. So it’s too early for me to comment on the first quarter. But what I can tell you is that, the fourth quarter, we certainly still saw pressure from transportation expenses. I want to say that on a same volume basis, Q4 2022 is about $1 million more expensive than 4Q of 2021. And that again, we saw the prices kind of spike after kind of going down there for a little bit of a lull toward the end of the third quarter. Pricing has come down. So I would be optimistic that will come down. But all the other ancillary things around distribution, primarily labor continue to remain at high levels. And so I wouldn’t tell you it’s a one-for-one as the pricing comes down that we still see inflationary pressure on the transportation of all the things we see transportation is probably the biggest area of inflation.
Dave Storms: That’s all. Very helpful. Thank you.
Rick Marabito: Thanks, Dave.
Operator: [Operator Instructions] Our next question comes from Chris Sakai with Singular Research. Please proceed with your question.
Chris Sakai: Hi, Rich and Rick. Good morning.
Rick Marabito: Good morning, Chris.
Rich Manson: Hi. Thank you, Chris.
Chris Sakai: I just had a question on the gross margin improvement in Tubular and Pipe and Products. What was driving that?
Rich Manson: Yeah. Chris, it’s Rich. The one big thing that you have to kind of adjust out of there is LIFO. And so there was a substantial LIFO expense in the fourth quarter of 2021 versus a little bit of LIFO income in the fourth quarter of 2022. I want to say the swing was like $9 million or $10 million. So if you kind of factor that out there, I think, on a percentage basis, it’s pretty consistent.
Chris Sakai: Okay. And as far as geography and vertical goes for any future acquisitions. Can you shed some light there?
Rick Marabito: Yeah. Sure, Chris. It’s Rick. As Rich said earlier, one thing for sure is, we are going to remain acquisitive. And I think, as Rich said, just to reiterate, we have got plenty of liquidity to really continue to execute on our growth plans both through CapEx, through acquisitions and through shareholder returns like an increased dividend. Specifically, we will continue to look if you look at our geography, I think, Metal-Fab was a perfect example. We have pushed a little further west. I mean that has nothing to do with the product, but in terms of geography. And that’s -- when you look at our map, that’s about in terms of physical locations about as far as we reach. So we certainly have a large part of the country kind of to the west of the plain states to grow. Certainly, the Southwest is an area we are actively looking to grow, the Texas marketplace and some others. In terms of Products, we have mentioned in the past on the Specialty Metals side, aluminum has been a growth area for us. That’s certainly an area we would look to grow in terms of acquisition and organic growth. And then, I think, Metal-Fab is a perfect example. What we are really looking to do is to find really good fits for Olympic well run, high return companies, and certainly, if we are able to use the strength and power of Olympic Steel in terms of or processing and depth of our relationships in terms of purchasing to add to companies that we acquired, that’s very attractive to us. So -- and I think Metal-Fab and what we talked about in terms of some of the commercial synergies is really a great example of that.
Chris Sakai: Can you comment on how valuations are you are seeing for companies?
Rick Marabito: Yeah. I think, typically, valuations for service center distribution type businesses are typically in the 7 times to 8 times EBITDA range based upon, I call it, the cycle average of EBITDA. Rich gave you a little bit of color today on our Metal-Fab acquisition, where we paid a 6.9% multiple on that. So that kind of fit right into that general range. But that’s pretty typical, Chris. I think the multiples, given what’s happening maybe at a point in time with EBITDA in the cycle and/or financing costs could be a little bit different, but that’s the general range we have seen.
Chris Sakai: Okay. Thanks for the answer.
Rick Marabito: You are welcome.
Rich Manson: Thanks, Chris.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back to Rick Marabito for closing comments.
Rick Marabito: Thank you so much and thank all of you for joining us on the call today. We certainly appreciate your continued interest in Olympic Steel. And I hope through our comments today, you take away how excited we are about 2023 in the future of Olympic Steel. So we certainly look forward to speaking with you again soon. Thank you and have a good day.
Operator: This concludes today’s conference. You may disconnect your lines at this time and we thank you for your participation.